Operator: Good afternoon. My name is Michelle, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Cambium Networks’ Fourth Quarter and Full Year 2023 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Peter Schuman, Vice President Investor and Industry Analyst Relations, you may begin your conference.
Peter Schuman: Thank you, Michelle. Welcome and thank you for joining us today for Cambium Networks’ Fourth Quarter and Full Year 2023 Financial Results Conference Call, and welcome to all those joining by webcast. Morgan Kurk, our President and CEO; and John Becerril, our Interim CFO, are here for today's call. The financial results press release and CFO commentary referenced on this call are accessible on the Investor page of our website, and the press release has been submitted on a Form 8-K with the SEC. A copy of today's prepared remarks will also be available on our Investor page at the conclusion of this call. As a reminder, today's remarks, including those made during Q&A, will contain forward-looking statements about the company's outlook and forecasted performance. These statements are based on current conditions, forecasts and assumptions. Risks and uncertainties could cause actual results to differ materially. Except as required by law, Cambium Networks does not undertake any obligation to update or revise any forward-looking statements for any reason after the date of this presentation, whether as a result of new information, future developments, to conform these statements to actual results or make changes in Cambium's expectations or otherwise. It is Cambium Networks' policy not to reiterate our financial outlook. We encourage listeners to review the full list of risk factors included in the Safe Harbor statement in today's financial results press release and our most recent SEC filings, including our most recent to Form 10-K and Form 10-Q. We will also reference both GAAP and non-GAAP financial measures and specifically note that all sequential and year-over-year comparisons to reference non-GAAP numbers except where otherwise noted. A reconciliation of non-GAAP measures to GAAP is included in the appendix to today's financial results press release, which can be found on the Investor page of our website and in today's press release announcing our results. Turning to the agenda. Morgan Kurk, will provide the key operational highlights for the fourth quarter and full-year 2023 and John Becerril will provide a recap of the financial results for the fourth quarter and full-year 2023, and will discuss our financial outlook for the first quarter and full-year 2024. Our prepared remarks will be followed by a Q&A session. I'd now like to turn the call over to Morgan.
Morgan Kurk: Thank you, Peter. Summarizing the performance of Q4 2023. As mentioned in our preliminary Q4 ‘23 results on January 18th, while the company shipped $51 million in product revenues during the quarter, this was offset in part by an $11 million reduction to revenues as the result of incentives provided to distributors during the fourth quarter of 2023 that provides aggressive Enterprise product discounts to clear excess channel inventories. The gross margin was also depressed during Q4 ‘23 due to the aforementioned incentives and higher inventory reserves. Operationally, our team executed to expectations during my first full quarter as CEO, including in the Point-to-Point, PTP business which had strong growth, and in the Point-to-Multi-Point, PMP business in North America thanks in part to increasing orders of 6 GHz products ahead of the FCC’s formal approval. While revenues came in below our outlook and gross margin decreased during Q4 ‘23 as a result of increased incentives provided to Enterprise distributors and higher inventory reserves, we maintained good cost controls and tightly managed our operating expenses. As expected, our PTP revenues were strong, increasing 38% sequentially and improving 3% year-over-year as U.S Federal spending for Defense applications recovered. Our PMP revenues decreased 4% sequentially and were lower by 24% year-over-year. Channel inventories for PMP have been significantly reduced year-over-year while waiting for the FCC’s approval of 6 GHz spectrum, now expected during the first half of CY ‘24. The FCC’s approval is anticipated to drive sales of Cambium’s new six gigahertz ePMP 4600 and PMP 450v product lines, both of which are available today. During Q4 ‘23 the North American region’s sequential growth for PMP and PTP was offset by a decrease in EMEA’s PMP revenues as a result of the large 28 GHz fixed 5G shipments that occurred during Q3 ‘23. Our Enterprise revenues decreased $8 million sequentially and decreased $37.5 million year-over-year due in part to the $11 million channel inventory discount. Orders for our Enterprise business continued to experience headwinds, in both North America and EMEA, due to high channel inventories and competition. Enterprise revenues were negatively impacted by stock rotations of approximately $3 million. We have seen a significant reduction in Enterprise stock rotation, as channel inventories decreased, and expect this to continue to decrease throughout the year. Sales of Cambium’s products out of the distribution channel as reported by Cambium’s distributors were significantly higher for Q4 ‘23 than Cambium’s reported revenues, and we saw a corresponding decline in channel inventories for Enterprise products while PMP channel inventories remained relatively stable. We are making good progress in reducing channel inventories and in aggregate the inventory is approaching pre-pandemic levels. We will continue to be diligent about monitoring and controlling this as shorter lead times and increased cost of capital may drive different behaviors by distributors than in the past. Looking at the full-year 2023, revenues of $220.2 million represent a decrease of 26% from 2022. The 2023 decline was predominantly driven by our Enterprise products, which decreased 64% from the prior year, and to a lesser extent lower PMP revenues, which declined 17% from the prior year, partially offset by the growth in our PTP business which had a record year, increasing 20% for the full-year 2023, breaking the $80 million threshold for the first time in Cambium’s history, largely due to the strength of our defense business. We continue to expect Enterprise channel inventory to decrease in the first half of CY ‘24 as supply remains abundant and lead-times short, but also expect incremental improvement of sales into the channel throughout the year. We foresee modest growth for the PMP business, driven by new product momentum in our 6 GHz products, continued adoption with our 60 GHz solutions and lumpy orderings of our 28 GHz solution. We expect continued strength in the defense portion of the PTP business in North America and abroad, and in Enterprise we expect recovery during the second half of CY ‘24. Now, looking at some customer wins that are key to our future success. In North America, we received sizable orders from Nextlink, a large service provider in the Midwest, for the new ePMP 4600 using 6 GHz spectrum. Nextlink will use ePMP primarily to reach locations in low-density rural areas. The CEO of Nextlink commented that the ePMP 6 GHz platform is an unmatched blend of performance and cost, allowing Nextlink to cost effectively offer gigabit broadband to their customers. This purchase is testimony to our value strategy. Once the spectrum is approved by the FCC, we expect rapid deployment by many of the over 100 customers who are trialing the product. In Mexico, a wireless internet service provider, Siglo, is offering internet service subscription packages to customers within Walmart Supermarkets. Cambium’s ePMP radios are bundled as part of the service offering. Customers purchase the equipment through Walmart to contract the connectivity service. This is a disruptive model that departs from the usual go-to-market of WISPs and shows industry maturation and Cambium’s support of continued expansion. Turning to upcoming product introductions since our previous quarterly update. This Spring we will introduce our first fiber aggregation switch within our Enterprise portfolio. The new switch features dual independent redundant power supplies, non-blocking Level 2 and Level 3 switching line rates and will be fully managed by Cambium’s cnMaestro. This addition completes the high-end of our switch portfolio. Also in the Spring, we expect to release the PMP 450b6, a single band 2X2 MIMO subscriber module, as a low-cost complement to the recently released PMP 450v, a dual band 4X4 MIMO subscriber module. Finally, total devices under cnMaestro Cloud management in Q4 ‘23 increased approximately 1% from Q3 ‘23 and was up over 14% year-over-year. I will now turn the call over to John, for a review of our Q4 ‘23 financial results and Q1 ‘24 and full-year 2024 financial outlook.
John Becerril : Thanks Morgan. Q4 ‘23 results include an $11 million reduction in revenues primarily as the result of incentives to significantly discount certain Enterprise inventories in order to move Enterprise inventories in the channel. Further, we recorded additional inventory charges which reflect the current state of the market and product demand. The discounting decision was made with the goal to move excess inventory through the channel in the near-term. We expect that channel inventories will decline during the first half of 2024, and by the end of the first half of 2024, we will be at or below pre-pandemic levels. We are seeing the expected benefits of our cost reduction plans designed to align our cost structure to our 2024 operating plan. We have focused our R&D resources on those products and projects that are most critical for Cambium’s future success. Turning to the quarter. Cambium reported revenues of $40.2 million for Q4 ‘23. Revenues decreased by 7% quarter-over-quarter and were lower by 52% year-over-year. On a sequential basis for Q4 ‘23, revenues decreased by $2.8 million. The majority of the decline in revenues was the result of the continued low order volume for our Enterprise business as distributors focus on decreasing their channel inventories as product lead times have come down, as well as aggressive competitor discounting, stock rotations, and slowing economies; while PMP revenues decreased 4% quarter-over-quarter due to a large 28 GHz fixed 5G shipment from EMEA during Q3 ‘23, partially offset by the strength in North America from our 6 GHz PMP products. As expected, we had strong shipments of our PTP defense products. We expect some improvement in orders for the PMP business with the anticipated approval of 6 GHz spectrum. We have seen PMP channel inventories remain stable. Revenues of $40.2 million decreased by $44.3 million year-over-year primarily due to lower Enterprise revenues. PMP revenues decreased 24% year-over-year with the weakness primarily from regions outside of North America. PTP revenues increased 3% year-over-year due to higher revenues for defense products in North America and EMEA. By region, North America increased sequentially by 52% while all other regions weakened. Moving to our gross margin. Our non-GAAP gross margin for Q4 ‘23 of negative 19.4% compared to 49.6% in Q4 ‘22. The year-over-year decrease in our non-GAAP gross margin was primarily due to the $11 million reduction in revenues as the result of price incentives provided to distributors, and inventory charges of approximately $18.9 million related to excess and obsolete inventories, as well as unfavorable product mix as a result of lower Enterprise revenues. On a sequential basis, Q4 ‘23 non-GAAP gross margin of negative 19.4% compared to 27.7%. The lower quarter-over-quarter non-GAAP gross margin was primarily the result of higher Enterprise inventory reserves, partially offset by higher revenues from our defense products, which have a higher margin than other products in our portfolio. In Q4 ‘23 our non-GAAP gross profit dollars of negative $7.8 million decreased by $49.7 million compared to the prior year and were lower by $19.7 million sequentially due to the lower revenues, and higher inventory charges. For the full-year 2023, non-GAAP gross margin declined to 33.8%, compared to 49.5% from 2022, due to lower Enterprise revenues, Enterprise price incentives and higher inventory charges. Non-GAAP total operating expenses, including depreciation and amortization in Q4 ’23 decreased by approximately $2.4 million dollars when compared to Q4 ‘22, and stood at $26.3 million, or 65.5% of revenues. The decrease in operating expenses compared to the prior year period was primarily the result of cost reductions during the second half of 2023, which resulted in lower operating costs primarily due to lower variable compensation, partially offset by increased wages due to inflationary salary increases effective January 1, 2023. When compared to Q3 ‘23, non-GAAP operating expenses decreased by approximately $1.1 million during Q4 ‘23. The quarter-over-quarter decrease in operating expenses was due to lower G&A due to less professional services and lower R&D costs due to lower headcount. For the full-year 2023, non-GAAP operating expenses of $113 million were flat, with higher wages due to inflation and higher headcount during the first half of the year offset by cost reductions in the second half of the year. During 2024, we will continue to maintain our strong cost controls. Non-GAAP net loss for Q4 ‘23 was $26.4 million, or a loss of $0.95 per diluted share, below our outlook for the quarter, and compared to non-GAAP net income of $10.3 million, or earnings of $0.36 per diluted share for Q4 ‘22, and non-GAAP net loss of $12.1 million, or a loss of $0.44 per diluted share during Q3 ‘23. The lower non-GAAP net income compared to the prior year was primarily due to lower Enterprise and PMP revenues and a lower gross margin, while the lower net income compared to the prior quarter’s results was primarily the result of the Enterprise pricing incentives and higher inventory charges, we had a direct impact on our gross margin, partially offset by lower operating expenses. For the full year 2023, non-GAAP net loss was $30.7 million or $1.10 per diluted share, compared to non-GAAP net income of $26.9 million or earnings of $0.94 per diluted share in 2022. Adjusted EBITDA for Q4 ‘23 was a loss of $32.9 million, compared to positive $14.3 million for Q4 ‘22, and a loss of $14.4 million for Q3 ‘23. The full-year 2023 adjusted EBITDA was negative $34.2 million, compared to positive $38.8 million for the full-year 2022. Moving to cash flow. Cash used in operating activities was [$16.2 million] (ph) for Q4 ‘23 and compares to cash provided by operating activities of $4 million for Q4 ‘22, and cash used in operating activities of $200,000 for Q3 ‘23. During Q4 ‘23 we executed on converting receivables into cash and managing payables and working capital. Our goal for 2024 is to reduce our inventories balances to closer to $40 million as we return to pre-pandemic levels. Turning to the Balance Sheet. Cash totaled $18.7 million as of December 31, 2023, a decrease of $8.8 million from Q3 ‘23. The sequential decrease in cash primarily reflects lower revenues and material purchases to suppliers and capital expenditures. As of December 31, 2023, we have not yet drawn on our $45 million revolver although we may draw on a portion of the revolver during the first half of 2024. Net inventories of $66.9 million in Q4 ‘23 decreased by $12.9 million from Q3 ‘23 and were higher by $9.8 million year-over-year. Net inventories were lower sequentially due to higher inventory reserves and shipments into the channel. Channel inventories continued to decline sequentially for Enterprise while PMP channel inventories were stable. We continue to take aggressive actions to work with our distributors and return Enterprise channel inventories to pre-pandemic levels. In Summary, the fourth quarter results turned out lower than anticipated as a result of higher discounting of Enterprise products in reaction to the market conditions, as well as higher inventory reserves. As expected, our PTP business grew sequentially. Our gross margin decreased sequentially as a result of the higher inventory charges as well as a very competitive pricing environment for the Enterprise business. We continued to see improvements in channel inventories, which bodes well for the future. We continue to manage costs prudently and the actions we have taken should improve future operating performance as our non-GAAP break-even operating profitability is now approximately $60 million in revenue. During 2024, while we expect to see a slower but an improving start for the Enterprise business during the first half of the year as Enterprise channel inventory continues to decline. We believe we will regain scale while improving operational efficiency during the second half of the year. We are optimistic about the expected near-term approval by the FCC of the 6 GHz spectrum. We are excited about the number of opportunities in our growing and profitable defense business and our ongoing product development initiatives as we consolidate to a small number of platforms over the next few years. Moving to the first quarter and full-year 2024 financial outlook. Cambium Networks’ financial outlook does not include the potential impact of any possible future financial transactions, acquisitions, pending legal matters, or other transactions. Considering our current visibility as of today, our Q1 ‘24 financial outlook is expected to be as follows: Revenues between $43 million to $48 million, representing growth of approximately 7% to 19% sequentially, due in part to growth in our Enterprise business and PMP business, partially offset by seasonality in our PTP defense business. Non-GAAP gross margin between 41% to 44%, non-GAAP operating expenses between $25.4 million to $26.4 million and non-GAAP operating loss between $5.3 million to $7.8 million. Interest expense net of approximately $800,000 and non-GAAP net loss between $6.1 million to $8.6 million or net loss per diluted share between $0.22 to $0.31. Adjusted EBITDA loss between $4.1 million to $6.6 million and adjusted EBITDA margin between negative 8.6% to negative 15.4%. Our non-GAAP effective income tax rate is immaterial. Approximately 28 million weighted average diluted shares outstanding. Cash requirements are expected to be as follows for Q1. Paydown of debt, $700,000, cash interest, approximately $600,000 and capital expenditures, $2 million to $3 million. Full year 2024 financial outlook is expected to be as follows, revenue is between $215 million to $245 million representing a decrease between 2% to an increase of approximately 11%, non-GAAP gross margin approximately 44%. Non-GAAP net loss between $13.6 million to net income of $2.3 million or between a loss of $0.48 per diluted share to net earnings of $0.08 per diluted share. Adjusted EBITDA margin between negative 2.7% to positive 4.1%. For the year, capital expenditures are expected to be approximately $9 million to $11 million. I will now turn the call back to Morgan for some closing remarks.
Morgan Kurk: We have made good progress with our channel partners to bring channel inventories to a more appropriate level in recognition of much shorter product lead times, which has impacted revenues. This is an industry-wide issue which will recover over time as Enterprise channel inventories are digested. Our sales out of the channel have remained relatively stable and we are working to ensure this continues in the future. Internally, we have established new processes for planning and mitigating future inventory levels and improved our visibility into the channel to adjust faster to product lead times, and I believe we've come a long way in a short period of time. Our PMP business is primed with multiple new products to address the growth cycle once the FCC approves 6 GHz spectrum. Over the past six months, I have been primarily internally focused working with the team on product development, improving our processes and developing our overall direction. I've been pleased with the collaboration, willingness to change and the desire to succeed that I've seen from all employees. We have reduced operational cost while supporting a large existing customer and product base and developing future platforms. While this is not easy, it has been necessary and was executed with full support. While I would like to consolidate our products into platforms more quickly, this is being managed in an evolutionary manner. I am now focused more on our go to market strategy, specifically how we address Enterprise beyond our core customers. To the critical steps to grow include not just the great products we have and continue to develop, but also improving our engagement with distributors and value added resellers who can demonstrate Cambium’s value proposition to end customers. I have been and will continue to spend more time with our customers and channel partners to ensure that we're aligned with their needs. These are challenging times for Cambium and the industry, and I'd like to share my appreciation for the continued focus and collaboration of our employees, partners and customers. This concludes our prepared remarks. With that, I'd like to turn the call over to Michelle and begin the Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from Simon Leopold with Raymond James. Your line is open.
Simon Leopold: Great. Thank you for taking the question. First thing I wanted to ask about was really how we should think about modelling the Enterprise or WiFi business. In that in your March forecast, are you assuming that you're still taking product back, and sort of when do we get back to normal? So just looking for a little bit extra handholding on that particular line item. Then I've got a follow-up.
Morgan Kurk: Sure. Simon, thanks. Yes, so we said that we'll be back, I'll call it, to normal times with our inventory position in Enterprise by the end of the first half, we've been consistent. That's what I said last time. We believe that will occur. I also noted that our stock rotations in this area are decreasing on a quarterly basis, and we expect that to be normal at a similar time. So you're just going to see sequentially growing revenues in this area throughout the year.
John Becerril: Yeah. I'll update that as well, Simon. We are seeing, Enterprise recover here throughout 2024. Sequentially, we'll be getting better every quarter. We'll still be down year-over-year though for Enterprise.
Simon Leopold: So what are you seeing in terms of the gross shipments to customers? So if we ignore that what you've taken back in the discounting, we just look at what the channel is generating. What's that level of sales?
John Becerril: So I think we said on our last call, we're in the range of $15 million to $20 million on a quarterly basis and that remains unchanged.
Simon Leopold: Great. That's very helpful. The follow-up was in terms of trying to think about the 6 GHz products, and how we should think about that. I'm presuming that once the FCC approval is done and that frequency opens up and you have orders in hand, that we would see something like a step function in terms of revenue that you'd recognize, let's just say hypothetically in your third quarter. Can you give us a little bit more guidance in terms of how you think about that manifesting itself into your business and your financial statements? Thank you.
John Becerril: Yes. Good question, Simon. Once we get approval from the FCC, we're prepared to start shipping orders. There's documentation that still needs to be completed internally, but we're very close to seeing that happen, but we're ready once the FCC approves that. In terms of guiding specifically on 6 GHz, we tend to not have to guide that specifically on that. We'll stick with our overall guidance in range for the full year for 2024, which we said in our prepared remarks will be in the range of $215 million to $245 million.
Simon Leopold: Thank you for taking the questions.
Morgan Kurk: Thank you.
Operator: Thank you. Our next question comes from George Notter with Jefferies. Your line is open.
George Notter: Hi, thanks very much, guys. I'd love to just sort of step back and kind of see where you are, Morgan, just in terms of the bigger plan for the company, the strategy, how have you kind of had your mind set evolve around product strategy, where the company is going to differentiate going forward, what business lines you're going to focus on. I mean anything you can tell us on the revised view would be great. Thanks.
Morgan Kurk: Sure. Thanks, George. I don't think it's differed very much from the last call. As I said on the last call, I look internally first to make sure that I understand the product lines and that we improve our operational cadence. I then work on the strategy from a product standpoint, how we consolidate on to platforms and then I look externally how do we improve our channel. And I don't think that's changed. I think what we see in the market for demand for point to point government means that we will continue to support this product line and evolve that. I think in the point to multipoint business, it really is about platforming, supporting all of these different frequencies from a single sort of product line that can do it all is something which we're working on figuring out ways of doing. And then in Enterprise, I think most of that is a go to market improvement as we get our brand and the pretty complete product set that we have here at Cambium out to the market. So I guess, in summary, not much of a change from last time. This is now in the execution phase which takes time.
George Notter: Got it. And then you guys mentioned the competitive environment, I think, a number of times in the monologue, I think, specifically as it relates to Enterprise. Can you talk a bit about what you're seeing precisely?
Morgan Kurk: Yes. So after chips became available, virtually everybody in the industry goes through for Enterprise goes through channel, and the channel became very full as everybody shipped the orders they had. We were a little bit ahead of the game, but as the channel becomes less full and we've talked about how we've reduced our channel inventory, channel works reduced all of its inventory. Things will return back to more normal cadence. So all the while this was going on, I would say end demand, very similar. No real appreciable change. But the channel decreasing its holdings back to a point where it can refresh its stock within now very short lead times is kind of where we're headed.
George Notter: Okay. Thank you very much.
Morgan Kurk: Thank you.
Operator: Thank you. Our next question comes from John Roy with Water Tower Research. Your line is open.
John Roy: Yeah. Obviously, you're expecting a pretty good move in the second half of the year. Could you give us any kind of color on any kind of supply chain issues you might have wrapping up that fast, kind of quiet there on supply chain at this point.
Morgan Kurk: Absolutely. So we run a, I'll call it, ODM, OEM outsource strategy. So ramping up and down is really about material supply, and we monitor this now very closely, and would prepare or will are prepared for the appropriate ramp up in this, and we don't really see that as an issue, in any way, shape or form. From our perspective, this is simply executing what we've actually started to become fairly good at.
John Becerril: I think, just to add to that, lead times have dropped significantly from the pandemic to now. So we’re back in a normal environment, so executing on customer orders is going to be much more efficient operationally for us then in the past. So if we feel good about it.
Morgan Kurk: In addition, the second component because we manufacture around the world of shipping times and costs has also gone down appreciably. So we really don't see issues this year. There are occasional components that we see lead times going out on or going up in price, and we manage that as part of our normal process.
John Roy: Right. And maybe one last kind of question on the FCC approval of 6 GHz. If that gets pushed out, do you feel like you would need to take additional steps or kind of just ride it out?
Morgan Kurk: In terms of what managing –
John Roy: Managing costs.
Morgan Kurk: Yes. Obviously, we're very cautious about making those types of statements, but we are in a very good strong cost position right now containing cost and working capital. And given the potential of that happening, we're prepared to take whatever actions necessary to maintain strong cost control across our portfolios and internally on our resources.
John Roy: Great. Thanks so much.
Morgan Kurk: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from Tim Savageaux with Northland Capital Markets. Your line is open.
Tim Savageaux: Hi. Good afternoon. Hey. First question, and I do have a follow-up. Looks like you're doubling your CapEx here in calendar ‘24.
John Becerril: No. We're not doing that.
Tim Savageaux: You're not?
John Becerril: No. No. So, our outlook for CapEx for 2024 is $9 million to $11 million. That's pretty much what we would be tracking on an annual basis. In fact, it's a little lower than 2023 by $2 million.
Tim Savageaux: Gonna have to check my numbers then. Okay. It looks like you're doing a $1.25 million the last two quarters, but I'll go take another look. Alright. Well, that's not very interesting then. Second question, talked about modest growth for PMT for the year and I'm just trying and also declines in Enterprise and I think you probably ought to set a baseline there for Q1 just in terms of a number, having reported negative 5.5 for Q4, I think that would be helpful. But I appreciate the color on the for the year. After a solid strong growth year in PTP, I mean, do you expect growth of that magnitude, 20%, to continue or moderate and which segment between PMP and point to point would you expect to grow faster on a percentage basis?
John Becerril: Yes. Good question, Tim. For point-to-point, looking at we had a very strong 2023. Going forward into 2024, we're looking at flat to modest growth there from point to point. And then in our PAP business, we expect sequential growth there in point to multipoint and somewhere between the mid to upper teens, we offer points and multi point.
Tim Savageaux: Great. Thanks very much.
Operator: Thank you. There are no further questions at this time. Like to turn the call back over to Peter Schuman for any closing remarks.
Peter Schuman: Thank you, Michelle. During Q1 2024, Cambium Networks will be presenting to a meeting with investors on March 5 at the JMP Securities Technology Conference and on March 19 at the ROTH Annual Conference. In the meantime, you're always welcome to contact our Investor Relations department at 847-264-2188 with any questions that arise. Thank you for joining us, and this concludes today's call.
Operator: Ladies and gentlemen, that concludes today's quarterly earnings call. Thank you for your participation. You may now log off.